Operator: [Operator Instructions] Before we begin, I will read the forward-looking statements. This call may contain forward-looking statements made pursuant to the Safe Harbor provisions for the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management's current expectations and observations that involve known and unknown risks, uncertainties and other factors not under the company's control, which may cause actual results, performance or achievements of the company to be materially different from the results, performance or expectations implied by these forward-looking statements.
 All forward-looking statements are expressed, qualified in their entirety by their cautionary statements, risk factors and details of the company's filings with the SEC. 
 21Vianet undertakes no duty to revise or update any forward-looking statements for selected events or circumstances after the date of this conference call.
 With us today are Josh Chen, 21Vianet's Co-Founder, Chairman and CEO; Jun Zhang, our Chief Operating Officer; and Mr. Shang Hsiao, President and CFO of 21Vianet.
 Following management's prepared remarks, we will conduct a Q&A. At this time, I would now like to turn the conference call over to Josh Chen, 21Vianet's Co-Founder, Chairman and CEO. 
Sheng Chen: Thank you, operator. Good morning, and good evening, everyone, and welcome to 21Vianet's First Quarter of 2012 Earnings Conference Call. We are very pleased to announce strong financial and operational results for our first quarter of 2012. 
 With first quarter revenue growth over 64% year-over-year to RMB 346 million, we continue to push ourselves in reaching the strong demand for our 1,605 customers. We are faced with this need for the reliable, secure, stable Internet infrastructure, and the fast connectivity continue to verify the robust growth fundamentals of our business. 
 Because of their reliance on our premium infrastructure and services, demand continues to out quit [ph] supply. 
 During the first quarter, in anticipation of bringing online over 2,000 cabinets of new capacity in the second and the third quarter of this year, we've decided to consolidate the first quarter's demand by slightly increasing our cabinet count by 211 cabinets. While at the same time, we increased utilization to over 82% to further accommodate these demands. In addition, I'm very pleased to say that we remain on track to reach our year-end goal of 13,000 cabinets of installed capacity. Zhang Jun and Hsiao will provide greater details later. 
 While we remain focused on rolling out our data center expansion plan for 2012, we continue to make progress on integration both the Managed Network Entities and Gehua acquisition. While our hosting business remained the key growth driver during the quarter, managed network services once again outperformed our expectations. 
 On an aggregate basis, we've experienced 91% year-over-year growth. That's including the Gehua acquisition growth by over 50% [ph]. We believe this strong quarterly performance is a testament to the increasing demand in China for improved and faster Internet data transmission. Going forward, we believe that these key initiative will further strengthen the capacity, service offerings and expertise in meeting China's surging demand for fast and a reliable Internet connection over the coming quarters. Coupled with our solid application, we are confident we will continue to maintain our leadership position in Great China's growing Internet infrastructure network. 
 With that, I will now turn the call over to our COO, Zhang Jun, for operational updates. 
Jun Zhang: Thank you, Josh. Good morning and good evening, everyone. As Josh alluded to earlier, during the quarter, our top priority demands was on top [ph] our capacity to accommodate customers' growing needs by building our new data centers, new utilization improvements, as well as broadband network integration and expansion. 
 Moving to our data center expansion. For the first quarter, we focused on leveraging our existing capacity to meet customers' demand, in anticipation of our new capacity coming online. 
 During the quarter, we only added 211 cabinets, bringing the total of self-built data center cabinets to 4,170 or 52% of our 8,000-plus cabinets. 
 As Josh mentioned, we expect to have approximately 2,000 cabinets worth of new capacity coming online in our Shanghai, Beijing and Guangzhou data centers.  With this significant increase in new cabinets capacity coming online over the next couple of quarters, we expect utilization rate to decline below the historical average and gradually, the trends [ph] with historical averages several quarter after the covenant. This performance [ph] will [indiscernible] a strong foundation for certain amounts [ph] and equal growth. [ph] This expansion, as well as our Guangzhou data centers construction remain on track to be completed later this year. 
 During the quarter, we're also further increasing our network service capacity through continued integration of both Guangzhou and Gehua [ph] populations, as what's evidenced from the strong quarterly performance in our managed network [ph] service business. 
 Customers continue to demand the enhanced data transmission capacities that 21Vianet network can provide, improving the reliability, stability and the speed for the end-use network connections.  Looking ahead, we will continue to focus on our bandwidth growth as discussed, as well as further utilization improvement plus high-power density cabinets which can [indiscernible] cabinet. 
 We believe such initiatives will help drive additional MRR improvement in the future. We will also continue to explore various strategic, non-authentic options to further expand our data center capacity and the broadband network footprint. 
 At this time, I would like to turn the call over to Mr. Shang Hsiao, our President and CFO, who will discuss our financial performance, as well as financial forecast for our recent initiatives in greater detail. 
Shang-Wen Hsiao: Thank you, Jun. Before we start, I would like to state that we will present non-GAAP measures on today's conference call. 
 All non-GAAP results exclude certain non-cash expenses which are not a part of our core operation. The detail of these expenses may be found in the reconciliation table we include in our earlier release. 
 Also note that all the financial number we are presenting today are in Renminbi amounts, unless otherwise noted. 
 Now moving on through the detailed financial result. First of all, we are very pleased to share with you our strong financial result. Like Josh  said, our net revenue for the first quarter of 2012 increased by 64% to RMB 345.8 million from RMB 210.6 million in the first quarter of 2011. 
 Our monthly recurring revenue, or MRR, defined as a revenue recognized on a fixed and recurring basis each month, one of our core tracking metrics, grew to over RMB 116.3 million in March 2012 from RMB 114.2 million in December 2011. 
 The MRR per cabinet increased to 9,718 from 9,700 last quarter due to an increased demand for bandwidth, especially in Tier 1 cities. 
 Going forward, the MRR per cabinet to remain about RMB 9,000 per cabinet, but may gradually phase out demand for interconnectivity service. 
 Our utilization rate increased to 82.4% in the first quarter of 2012 compared to 18.7% last quarter. 
 Net revenue from hosting and related services increased by 47% to RMB 189.5 million in the first quarter of 2012, from RMB 128.9 million in the first quarter of 2011, primarily due to an increase in total cabinet under management in self-built and partnered data center attributable to growing customer demand. 
 Net revenue from our management network service increased 91.3% to RMB 156.3 million in the first quarter of 2012 from RMB 81.7 million in the first quarter of 2011. This increase was primarily driven by the network capacity demand for data transmission service.  Excluding revenue contributed by the Gehua acquisition, net revenue from managed network service increased by 61.8% to RMB 132.2 million from RMB 81.7 million in the first quarter of 2011. The increase in management network service was primarily driven by authentic network capacity growth for data transmission service. 
 For the first quarter of 2012, adjusted gross profit increased by 66.1% to RMB 105 million from 63.2 million in the first quarter of 2011. Adjusted gross profit margin increased to 30.4%, compared to 30% in the first quarter of 2011. The increase in gross profit was primarily due to continued revenue mix shift toward a higher percentage of the new cabinet in our self-built data centers relative to partnered data centers. 
 Capital deployed in our self-built data centers carry higher gross margins than those in partnered data centers. 
 Adjusted operating expenses increased to RMB 55.8 million from RMB 31.2 million in the prior year period. As a percentage of net revenue, adjusted operating expenses was 16.1%, increased from 14.8% in the prior-year period. More specifically, adjusted sales and marketing expenses increased to RMB 23.5 million from RMB 14.6 million in the comparable period in 2011, primarily due to the expansion of our sales and service support team. 
 Adjusted, general and administrative expenses increased to approximately RMB 21.8 million from RMB 10.2 million in the prior-year period, primarily due to expansion of related headcount and office rental. 
 Adjusted research and development expenses increased to RMB 10.5 million from RMB 6.5 million, which reflect our effort to further strengthen our R&D development capabilities and expand and improve our service offerings. 
 The main difference between adjusted operating expenses and our higher GAAP total operating expenses amount is primarily due to change in the fair value of contingent purchase consideration payable of RMB 43.2 million, and share-based compensation expenses of RMB 10.2 million.  The change in the fair value of contingent purchase consideration payable is primarily resulting from an increase in the present value of estimated [ph] cash per share consideration as of December 31, 2011, associated with the company's acquisition of both the Managed Network Entities and Gehua. 
 For clarification purpose, the fair value of contingent purchase consideration payable amounts, we have changed in accordance with the stock price of the company as well as the estimate of the future financial performance of Managed Network Entities and Gehua an Royalty [ph] sector 2014 after confirmation of the exact [ph] purchase consideration based on the achievements by Managed Network Entities and Gehua of certain revenue and net profit performance CapEx in accordance with the sales and purchase agreement for the fiscal year of 2011, 2012 and 2013, as well as other conditions. 
 From a profitability perspective, adjusted EBITDA for the first quarter of 2012 increased by 61.5% to RMB 69.5 million from RMB 43 million in the first quarter 2011. 
 Adjusted EBITDA margin for the quarter remained relatively stable to 20.1% from 20.4% in the prior year period. Our adjusted net profit for the first quarter of 2012 increased 35.4% to RMB 37.9 million from RMB 28 million in the prior-year period. 
 Adjusted net profit margin was 11% compared to 13.3% in the prior-year period. Adjusted diluted earnings a share for the first quarter of 2012 was RMB 0.11, which is represents the equivalent of RMB 0.66 or USD 0.04 per ADS. 
 The diluted share count for first quarter of 2012 is based upon our weighted average number of the company ordinary shares. 
 As of March 31, 2012, we had a total of 335.6 million basic share outstanding or the equivalent of 55.9 million ADS outstanding. 
 As of March 31, 2012, our cash and cash equivalents and short-term investment was RMB 1 billion, equivalent to USD 161 million, compared to RMB 1.3 billion as of December 31, 2011. 
 Accounts receivable turnover date or day sales outstanding was 49 days, compared to 41 days in the first quarter of 2011 and 44 days in the third quarter of 2011. And full-year of 2011 daily average of 40 days. 
 Regarding CapEx. In the first quarter of 2012, we spent approximately RMB 137 million. For 2012, we plan to spend RMB 537.2 million CapEx on our infrastructure buildout. As previously estimated, that CapEx spending also include additional data center we plan to build in 2012. 
 Looking at our financial outlook for the second quarter of 2012, the company expects net revenue to be in the range of RMB 364 million to RMB 370 million. Adjusted EBITDA is expected to be in the range of RMB 70 million to RMB 76 million. This forecast reflects the company's current and preliminary review, which is subject to change. 
 We believe the strong secular trend and growth in the Chinese Internet market, as well as the data structure needs for outsourced data center service should help drive sustained revenue and any close [ph] for our company going forward.  We will continue to invest prudently in expanding our capacity and service offerings to support our goals and try to return to our shareholders. 
 This concludes our prepared remark for today. Operator, we are now ready to take some questions. 
Operator: [Operator Instructions] And your first question comes from the line of Sandeep Gupta of Barclays. 
Sandeep Gupta: Can you talk about the changing competitive environment in China, especially given Equinix's recent acquisition of one of your local competitors? And how do you plan to, if at all, change the way of you approach your business or your customers? 
Shang-Wen Hsiao: Okay. This is Shang, Sandeep. Yes, we received the news, okay, Equinix purchased Asia Tone who have operation -- data center operation in Shanghai. I just want to say something. Okay, first of all, for a company to operate data center service in China, you need 3 license: ISP license, IDC license, okay, as well as the VPN license. And also, under the existing Chinese regulation, a foreign investor cannot own more than 50% of our company who have operation in data center service in China, okay? So such legal requirement for our domestic company, as well as foreign company to operate in China. Okay, by saying that, first of all, I also need to mention China, actually, Internet traffic is going very, very fast. It's a big market, okay? And we continue to see the significant growth, okay, with the IDC business. The demand remains very strong. So it's a big market, of course, this is a big market, where it allow many company, okay, to compete in this market. So we're looking forward to it. Our forecast is always in our company itself. Like I mentioned, demand remains very strong. So right now, okay, the management is trying to expand our capacity. So supply management is the most important focus right now for the management. 
Operator: Your next question comes from the line of Chris Larsen of Piper Jaffray. 
Christopher Larsen: I have 2 questions. First, Shang, can you just update us? I know in the press release, you said that you've got 2,000 cabinet equivalents coming on in the second and third quarter. What do you have planned in terms of company build for the full year? And then, thoughts on partnered cabinet equivalents throughout this year. And then secondly, maybe, you can just give us an update on the M&A environment in terms of buying up some of the smaller data center providers within China or in the Asia-Pacific area. 
Shang-Wen Hsiao: Okay. Right now, actually, I can't provide the exact dates, okay? We plan to deploy 2,000 cabinets on June 30. And these 2,000 cabinets will come out from 3 new data centers, okay. One in Beijing with 800 cabinets. Second one in Shanghai, okay, our new Shanghai data center, 900 cabinets. And third one actually is located in Guangzhou, 300 cabinets. So the total will give us the 2,000 cabinets. Additional 1,000 cabinets, self-built, will be deployed in September. Plus, another 1,400 cabinets from the Guangzhou will be deployed in December. So the total self-built cabinet will be deployed for the next 6 months we are talking about, it's around 4,400. And during the period for the next 4 months, we'd expect we are going to have 600 partnered data centers. So the total new capacity for the next 6 months will be more than 5,000 cabinets. And with all this, that would bring our total cabinet of the company to exceed 13,000 cabinets by the end of this year, okay? So that's our capacity deployment plan. And regarding to your second question, M&A. Actually, we are looking over for a lot of M&A project in China, especially for those companies who have 1 our 2 data centers, okay? And of course, like I always mention, when we look at the M&A project, we're looking over for those facility, okay? We want to make sure those facility meet our quantity standard, okay? And of course, the price needs to be right. So we are working on it. And probably before the end of this year, we may do 1 or 2 data centers, but this is part of our expansion strategy, okay? 
Operator: And your next question comes from the line of Chad Bartley of Pacific Crest. 
Chad Bartley: Two questions. First, I wanted to follow-up on the margins. As you look at Q2 and the guidance, you expect relatively stable EBITDA margin. As you look to Q3, should we expect the sequential decline as you bring out capacity? And then, should we expect sequential growth or sequential increase in Q4? And then my second question is looking to 2013, can you give any sort of rough guidance on self-built and partnered cabinets for the full-year 2013 and your expectations? 
Shang-Wen Hsiao: Okay. Chad, right now, if you look at the gross margin of this quarter, actually, we're [ph] going to continue to increase, okay, because the increase of cabinet, actually only increased by more than 200 cabinets. And we expect the second quarter of those margin, okay, should remain somewhere around Q1 level. On the Q3, okay, the gross margin, okay, of course that will base on our utilization rate. And we expect the gross margin should be between 29% to 30%, okay? What I'm trying to say over here, if the utilization rate, okay, can reach, okay, 50% for the new 2,000 cabinets, okay, new deployment. And our gross margin should be very close to 30%. Okay. So I think I can use the opportunity to mention some of the presale situation. The presale -- normally, the company, we do the presale, okay, 2 months before the deployment of the new cabinets. So far, okay, the presale just started for 2 weeks. It's very encouraging. So right now, based on our model, we think, okay, after the deployment on June 30 for these 2,000 cabinets, we're looking forward to achieve 50% of utilization rates we've seen before the September 30, okay. That's what we are shooting for. If that happens, our gross margin should be able to maintain, okay, very close to 30%. That's where we are right now in terms of the gross margins. Okay. And regarding to your second question, for the capacity plan for the 2013. And actually, we -- right now, internal plan, we have is we hope, okay, we can have a total cabinet to reach more than 20,000 cabinets. That's our goal. Okay. So because we already select -- we already had select certain data -- new data center sites. And so that's our goal, to have more than 20,000 cabinets by the end of the year 2013. 
Operator: [Operator Instructions] And your next question comes from the line of Chris Larsen of Piper Jaffray. 
Christopher Larsen: I just wanted to follow up on something that was in your press release and it had me thinking, one of the comments made was that you'd only brought on about 210 or 211, I believe, cabinet equivalents in the quarter. And the way the wording was, it almost led me to believe that if you had brought on more cabinet equivalents, that you would have been able to sell it, but you didn't want to bring on too many partnered data center cabinet equivalents because it has lower margin, and therefore it would eat into the business overall. Maybe you could just make some comments around that. 
Shang-Wen Hsiao: Chris, okay, you gave me an opportunity to talk about what's really happening in Q1. One time, okay, in the first quarter -- actually, the company doesn't have anything to sell. All the cabinets actually have been sold out. And new capacity, actually, we have to wait until June 30. So that's just what you see. Okay, how big is the demand right now? But even we only brought on 211 cabinets in Q1, remember, we increased nearly 2% of our utilization rate. 2% of the utilization rate, actually, we are talking about additional 150 cabinets, okay? So in fact, actually, we sold additional, I would say, 360 cabinets in Q1, okay? So we have pushed our utilization rate also. And -- so that's somehow, that just show you, okay, and demand, actually, demand, very, very strong. So actually, the management right now is -- we are very happy, okay, especially for our new deployment would be on schedule. And that will lay strong containment for our growth, particularly in the second half, and also to the first half of the 2013. 
Christopher Larsen: Shang, can I just follow-up? I mean, how are China Unicom and China Telecom, how are they as partners? Are they still willing to lend you space? And is there any concern that they may be more aggressive in putting out space to capture share? 
Shang-Wen Hsiao: Well, actually, okay, in the Tier 1 city right now, okay, Shanghai, Beijing, Guangzhou and Shenzhen, and they don't have a capacity, okay, to lease to us. So when we're talking about a partnered distinct cabinet, okay, those are many distinct cabinet where [indiscernible]Tier 2 city. And beside that, I also want to mention about it. For China Telecom, Unicom, actually, for our Shanghai data center right now, we are discussing with China Telecom. Because they don't have enough capacity. Maybe we have conceded to lease some of our new data center capacity to China Telecom, okay? All of that -- all have one indication. That demand remains very strong in our industry. 
Operator: And your next question comes from the line of Gary Yu of Morgan Stanley. 
Gary Yu: First of all, you emphasize a lot that the demand in the industry remained very strong. But we also understand that there's been some slowdown in the general economy and some of the other [ph] are also facing pressures. So what do you think are the drivers of the growth? And do you think those drivers can be sustainable going forward? And second, for many years, Equinix has tried to stay away from China because of the high regulatory hurdle, what do you think have changed with the data center China currently? 
Shang-Wen Hsiao: Okay. Gary, the driver for our business, okay, actually, is all related to the Internet traffic growth in China. And yes, we recently slowed down of the economy in China. But we are more look those Internet traffic. Actually, Internet traffic in China continue to grow. And the demand from our customer, again, particularly Internet customer, and still remains quite strong, okay? So at this moment, okay, as it is, we don't feel any major impact for our business. But we will keep that in mind, okay? And somehow, okay, when we prepare for the new capacity deployment trend in 2013 or something like that, we definitely will factor in the economy of the China, okay. But right now, we don't see any material impact. I also want to remind everyone, 21Vianet, we engage in data center business. Actually, this business is all about the current revenue. The revenue we have in this quarter, okay, we will continue to have in the second quarter, third quarter and fourth quarter. We don't need to worry about it. It's all about recurring revenues. Our churn rate, okay, actually, it's below 1% for the past couple of quarters, for 2 or 3 years already. So the demand continues to remain very strong and churn rate, actually, is very, very low. So it's a recurring revenue model. So we continue to see our business will be under a very stable growth for the next couple of quarters. That's the answer to your first question. And second question, to the Equinix. [Operator Instructions] Okay, to answer your second question, for the Equinix, I just want to mention, actually China's regulation law have not been changed. And actually, the government authority have not been issued any new license, things like year [ph] 2007. Okay, so nothing changed. And we know that about Equinix, okay, their acquisition in Shanghai. And so, I think the whole thing, okay, we need to spend some time to look at it. But like I say, okay, this market demand remains very strong, okay, and we recognize the competition is there, okay. But we will continue to focus on our operating trend, okay. Not because the Equinix tries something, then we will change our plans. Everything is -- will be based on our organic forecast, okay. 
Operator: And your next question comes from the line of Todd Weller of Stifel, Nicolaus. 
Todd Weller: Two questions. One, could you talk about, as you look out over the next few years, the relative growth you expect from hosting versus network services and how we think about the business mix? And then second, could you provide us an update around your efforts on cloud computing infrastructure services and your initiatives on the wireless side? 
Shang-Wen Hsiao: Okay. For the -- right now, okay, 2 main business for u. Okay, one, hosting, and another one is the network service. For the past 2 quarters, actually, hosting business represents 55% of our business, while Managed Network represents 45% of our business. And going forward, okay, because we have deployed a lot of cabinets right now, and in 2013, based on our plan, we will continue to aggressively extend the cabinet. So by the end of this year, we expect the revenue mix will be 60% for our management hosting business, when 40% will be network service. And this trend, okay, I think that weight was shifting into the hosting. If we continue to -- for our 2013 to extend the hosting business very aggressively, so by the time -- by the end of the 2013, we expect 70% of our company revenue come out from the management hosting, when only 30% of the revenue will come out from the network service. So that's the first question. And second question, regarding to the count [ph]. We -- companies right now, actually, is exposed [ph] -- people in action, okay, to try to -- we try to initiate the cloud computing service in China. Okay. We can consider either to do it by our own or we partner with some of the potential partners who have very good expertise in this area, okay. So that's 2 options. But in given any [ph] case, the company trying to deploy cloud computing service, okay, in the early of 2013, hopefully our strategy, okay, will be set. And we can talk about this in more detail in the Q3 this year. 
Operator: [Operator Instructions] And your next question comes from the line of Tien Doe [ph] of GIC Singapore. 
Unknown Analyst: Shang, just on the Equinix acquisition, again. Of the licenses that you just talked about, the ISP, the VPN, the IDC licenses, does that company actually have any of those 3 licenses? And second question is, maybe licenses for [ph] like 2007, the MIIT is inconsistent [ph] thinking that [indiscernible] is there a need for more licenses or not? 
Shang-Wen Hsiao: Okay. Tien Doe, [ph] I'm not sure whether or not that company have those license. Like I mentioned, actually, for the company -- it doesn't matter if it's a domestic company or a foreign company, when you are in this business, you need those license. And for the IDC business, okay, it counts as an IDC business, that's a black-and-white under the current government regulation. If they are engaged in IDC business, they need the license, okay? So that's my understanding. But so far, sorry, we are not sure whether or not they have those license. 
Unknown Analyst: Okay. And the MIIT is thinking of issuing new IDC licenses anytime soon, or not? 
Shang-Wen Hsiao: Actually, since the year of 2007, MIIT have not been issued any new license. But we've heard a lot of rumor since last year, okay, because Internet traffic, actually, is going very fast in China. So a lot of companies, actually, they are pushing the MIIT to issue the new license but we have not seen that happen and we don't have any news to have that indications [indiscernible] of going to issue a new license. 
Unknown Analyst: Is there any reason why the MIIT is not issuing the new license yet? 
Shang-Wen Hsiao: It's just our own observation, okay? Because, you know, China -- okay, regarding to the -- especially regarding to the information transmission, data transmission, actually, those transmission, [indiscernible] has mentioned, actually those transmission is under very restrictive by the local government. But the data center actually control all the different content information a data center needs to follow a lot of regulation, okay, sector by the government. So they are -- I believe, okay, since the data center actually have a capability to transmission all different data, so the government wants to have certain control in this area. Okay, that's why they don't issue the new license since year 2007. 
Unknown Analyst: And final question, you had a very small tick-up in your churn rate. Was there anything to talk about there? Is there anything to be worried about? 
Shang-Wen Hsiao: The churn rate, okay, actually, is still below 1%, Actually, we will see that trend continue. Right now, we don't see any major -- we lost any major customer. In fact, okay, just for the company operation history, the top 20 of the customer -- top 20 customer, okay, actually for the past 5 years, they always remain with us, okay? We don't lose any top 20 customers for the past 5 years. And those top 20 customers, actually represent a very significant portion of our business. But so far, so good. Actually, we only see growth, we don't see it a loss of the business. 
Operator: And your next question comes from the line of Louie DiPalma of William Blair. 
Louie DiPalma: This is actually Louie DiPalma for Jim Breen. How are you guys? 
Sheng Chen: Okay, very good. 
Unknown Analyst: Regarding managed hosting, you mentioned that you expect that segment to increase to 70% of sales over the next 5 years. Can you discuss your product pipeline and measure of things? And do you expect to rollout a public cloud service similar to what Alibaba's High [ph] China does or what Amazon Web Services and Rackspace do in the United States that could let customers get servers on-demand on sort of a month-to-month basis? 
Shang-Wen Hsiao: Okay. Regarding to the first question, the management network service, okay, to more Internet companies right now, for carrier, for ISP, they demand faster delivery, okay, of their data, especially as a backbone because after all, China backbone delivery, actually, is quite slow. Okay. So that result, okay, and the Internet download speed in China, actually it's very slow. So if that trend continues, the demand with management network service will continue, okay? And actually, year-to-year growth, okay, for example, look at management network service in 2012, actually, we only forecast somewhere around like a 40% to 45% of the growth. And that's how we forecast the management network service. But at least from the Q1 of first quarter, looks like the demand continued to be very strong. Okay. So that's our management network service. In terms of the cloud computing service, okay, I really want to say more, but we are negotiating with a certain company, okay, and we are working on it. And depending on our negotiation and the purpose [ph], I hope by the Q3, we can talk more, okay, on this topic. And you mentioned about the public cloud and platform-as-a-service and infrastructure-as-a-service and software-as-a-service, all possible, okay. All under our discussion. I hope we -- I can say more, okay, Louie, in Q3. 
Operator: [Operator Instructions] And there are no further questions at this time. I would now hand the conference back to Shang Hsiao. Please go ahead. 
Shang-Wen Hsiao: Thank you so much for everyone to spend time with us, okay? We're looking forward to bring better news in the next quarter and in release. Thank you. Goodnight. 
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for participating. You may all disconnect.